Operator: I would like to welcome everyone to Sleep Country's Q4 Fiscal 2023 Results Conference Call. Yesterday, Sleep Country released its financial results for the fourth quarter of fiscal 2023. A copy of the earnings disclosure is available on their Investor Relations website and includes cautionary language and forward-looking statements, risks and uncertainties which also applies to the discussion during today’s conference call. I would now like to turn the call over to Stewart Schaefer, President and CEO. Please go ahead.
Stewart Schaefer: Thank you, and good morning, everyone. Thank you for joining us. With me today is Craig De Pratto, our CFO. I am pleased to report a solid finish to fiscal 2023 with a 5.2% increase in sales for Q4, setting a new watermark record in revenue for the year as we proudly enter our 30th year in business. Despite a year that saw ongoing industry challenges that have seen double-digit unit declines in mattress purchases across North America, we delivered strong results as we remain razor-focused on executing our multiyear expansion plan. In Q4, we saw volatile swings in demand across all our house of brands. In October, as geopolitical issues escalated and volatility increased in the stock market, we experienced a pause in sales as consumer confidence dropped and customers chose to defer their larger sleep purchases. In the later part of the quarter, we saw consumer spending rebound, albeit cautiously, as customers took advantage of seasonal promotions. We continued to focus on growing our gross margins, which grew by 20 basis points in Q4 2023 and 50 basis points for the year. This increase was primarily driven by a better product costing resulting from continued strategic initiatives across all our banners, including direct sourcing of our owned brands, while also having the ability to lower retail prices and improving product mix for our customers. The back half of 2023 and continuing into this year was also all about unlocking synergies across our banners while preserving the unique brand identities of each, which we are confident will unleash tremendous value for both our customers and shareholders. In Q4, we began shifting our D2C banners back end logistics in our well-established warehouse and distribution network away from some of our inherited 3PL relationships, allowing us to control our inventory better, improve the last mile customer experience and create cost savings while leveraging our fixed cost. With all our D2C brands under one roof, we will be able to offer customers of all our D2C banners, our popular green glove delivery service in certain geographies. As a reminder, our green glove delivery services provide our customers a heightened, personalized delivery experience. Instead of just dropping the product off at your door, our D2C customers will have the additional choice to place their purchase into their bedroom, complete the setup and assembly with the option to remove the old mattress and all excess packaging, allowing our customers to sleep well knowing that all collected products are either donated to someone in need in their community or is fully recycled. We expect to complete the transition of shared warehousing across all our brands in the second half of 2024. We continue to see the in-store experience play a more critical role in the customer's journey as customers initiate their transaction online, visit a brick-and-mortar location, and then have the choice to complete the transaction in either channel. This quarter, just ahead of our holidays, we successfully introduced three new brick-and-mortar concepts, including our first luxury retail brand called The Rest, which opened at Yorkdale Shopping Centre, as well as two of our beloved digital first brands, Endy, which opened at Sherway Gardens in Toronto and Silk & Snow which opened within one of our newest Sleep Country locations in Ottawa. Customers were excited to come in and experience these brands that they have grown to love online in a tactile environment. And while it's still early days, the results are reaffirming our position to expand our D2C brands into a brick-and-mortar environment. In 2024, we plan on continuing to invest in an elevated in-store experience across our retail store network, including rolling out in Q2, our new and innovative Sleep Country store formats. As we step into fiscal 2024, we remain focused on three key priorities, growth through innovation, our customer experience and our operational excellence. Organic growth, as we continue to invest in expanding our brands with cutting-edge sleep technologies and products, we will further develop personalized and exceptional customer experiences that will broaden our customer segmentations, expand our basket size and keep customers for life. And three, we will continue to streamline our operations to maximize our efficiencies. I’m confident that staying true to these priorities, we will continue to create value for all our stakeholders and help Canadians achieve their best night's sleep. Finally, I want to extend my deep and sincere thanks to our incredibly dedicated, driven and talented teams who proudly represent all our amazing brands and who have worked tirelessly and have collaborated beautifully to help make us better every day and Canada's most trusted sleep partner. With that, I will now turn it over to Craig to discuss our financial results.
Craig De Pratto: Thank you, Stewart, and good morning, everyone. As Stewart previously mentioned, we are pleased with our Q4 2023 and annual results. This quarter, we saw an increase in revenues by $12.6 million, or 5.2% from $243 million in Q4 2022 to $255.6 million in Q4 2023. This increase was mainly driven by incremental revenue earned from new stores, wrap stores opened in 2022 and the incremental revenue earned from acquisitions of Silk & Snow in January of 2023 and Casper Canada in April of 2023. This increase was partially offset by a decrease in our same-store sales by 3.2%. From a channel perspective, our Q4 revenues from our eCommerce platform increased by 530 basis points from 21.1% in Q4 2022 to 26.4% in Q4 2023. Taking a step back and looking at our total revenues over a four-year period from 2019 to 2023, we achieved a strong CAGR of 8.2%. Moving on to gross profit, our gross profit increased by $5.2 million from $91.1 million in Q4 2022 to $96.3 million in Q4 2023. As our gross profit margin increased by 20 basis points from 37.5% in Q4 2022 to 37.7% in Q4 2023 due to higher average unit selling prices coupled with lower product costs and leveraging our occupancy costs. This margin increase was partially offset by higher sales and distribution, compensation and delivery costs. The delivery costs, which were mainly driven by our growth in our eCommerce revenue in the quarter. Our improved gross margin this quarter was offset by deleveraging of G&A expenses. Total G&A expenses increased by $6.8 million, or 11.7%, from $57.5 million in Q4 2022 to $64.3 million in Q4 2023. Of the $6.8 million increase in G&A expenses, $4.5 million of the increase was driven by advertising costs, mainly due to the incremental spend by Silk & Snow and Casper Canada. In addition to advertising, the increase in G&A expenses was due to an increase in credit card and financing charges, telecommunication and information technology costs, and other compensation costs, net of a decrease in bonus expenses. These increases were also impacted by the incremental spend of Silk & Snow and Casper Canada. Our EBITDA decreased by $0.5 million, or 1% from $50.7 million in Q4 2022 to $50.2 million in Q4 2023, which was primarily due to the increases in G&A expenses, partially offset by an improved gross profit margin. Adjusting EBITDA for LTIP, ERP and acquisition-related costs, operating EBITDA decreased by $1.6 million or 3.1% from $53 million in Q4 2022 to $51.4 million in Q4 2023. And operating EBITDA margin decreased by 170 basis points from 21.8% in Q4 2022 to 20.1% in Q4 2023. Finance-related expenses increased by $17.9 million from an income position last year in Q4 of $15.5 million to a net expense position of $2.4 million in Q4 2023. This increase was due to higher interest expenses on our lease obligations and senior secured credit facility, impacted by the higher interest rate environment and debt levels. And unrealized loss from our interest rate swap and lower realized gains on our share repurchases under our auto share repurchase program in Q4 2023. Additionally, this change was positively impacted by a $4.7 million reduction to the Hush redemption liabilities in Q4 2023, offset by a $20.5 million reduction to the redemption liabilities that was recorded in Q4 2022 of last year. These adjustments to the redemption liabilities were to reflect the estimated shift in the achievement of initial EBITDA targets to future years, which are beyond the redemption period. Income taxes decreased by $1.3 million from Q4 2022 to Q4 2023. This change was driven by a decrease in net income before taxes of $19.3 million from $49 million in Q4 2022 to $29.7 million in Q4 2023, and partially offset by an increase in our effective tax rate by 630 basis points from 16.8% in Q4 2022 to 23.1% in Q4 2023. This change in our effective tax rate is mainly driven by the $20.5 million adjustment in Q4 of 2022 due to the reduction of the Hush redemption liabilities, which was partially offset by a $4.7 million adjustment of the Hush redemption liabilities in Q4 2023 of this year that are not deductible for tax purposes. Net income attributable to the company decreased by $18 million from $40.5 million in Q4 2022 to $22.5 million in Q4 2023. Now adjusting net income for LTIP, ERP and acquisition-related costs, as well as the accretion expenses related to the redemption liabilities for Hush and Silk & Snow, adjusted net income attributable to the company decreased by $4.6 million from $23.9 million in Q4 2022 to $19.3 million in Q4 2023. Diluted adjusted earnings per share decreased by $0.11, or 16.4% from $0.67 in Q4 $2022 to $0.56 in Q4 2023. The change in diluted EPS was mainly impacted by lower operating EBITDA of $0.05 per share. Higher interest rate expense on our senior secured facility and leases of $0.07 per share, higher depreciation and amortization of $0.03 per share, partially offset by lower net income of $0.05 per share. Shifting to a summary of our annual results, our revenues increased by $6.3 million or 0.7% from $928.7 million in 2022 to $935 million in 2023. Our revenues generated from our eCommerce platform increased by 310 basis points from 19.6% in 2022 to 22.7% in 2023. Our annual gross profit margin increased by 50 basis points to 36.7% or from 36.7% in 2022 to 37.2% in 2023. Our operating EBITDA decreased by $21.8 million from $218.6 million in 2022 to $196.8 million in 2023. Moving on to liquidity. As of December 31, 2023, our cash balance was $37.4 million with an additional $98.7 million available to us through our credit facility. This does not include the $100 million accordion also available to us through our credit facility. In 2023 we drew $92.3 million of our facility and repaid $31 million. Our draws were primarily to fund the acquisition of Casper Canada, the convertible note share repurchases under the NCIB dividends as well as operating activities. In regards to capital allocation in Q4, we repurchased 1.1 million common shares for total consideration of $26.2 million under our NCIB bring us to total purchases for 2023 of 1.6 million common shares for consideration of $37.3 million. Our current NCIB expires on March 8th, 2024. As press released earlier this morning, we received approval from the TSX to commence a new NCIB where we can commence the repurchase of our common shares on March 11, 2024. Under this new NCIB in the next 12 months we can purchase up to a daily maximum of 15,927 shares, up to a maximum of 2.4 million common shares, which is approximately 10% of our public float as at February 29, 2024. The new NCIB expires on March 10, 2025. The company also established an auto share purchase plan in connection with the NCIB, which will also be implemented on March 11, 2024. On February 5, 2024, the Board approved a quarterly dividend of $23.7 per share, which was paid on February 29, 2024 to the holders of common shares of record as at the close of business on February 21, 2024. Regarding our CapEx spend for 2024, we will be opening a minimum of six new stores across our banners. We’ll be launching the new Sleep Country Dormez-Vous store design and select stores in 2024. We will continue to invest in our digital infrastructure to further enhance our digital capabilities and omni-channel and customer experience, and spend approximately 1% of revenue for ongoing store and DC maintenance. Thank you and I’ll now pass the call back to Stuart for closing remarks.
Stewart Schaefer: Thank you, Craig. Finally, before we close, I want to invite you to join our Hour Back Pledge for Sleep Awareness Month in partnership with the Canadian Mental Health Association. With daylight savings time coming up this weekend, we are going to be springing forward and that means we are losing an hour of sleep. So to help all our associates prioritize their health and well-being, we’ll be opening an hour later than usual on Monday, March 11, allowing everyone to adjust to the time change and get the rest they need. We encourage all companies to do the same. With that, it wraps up our remarks and we will open up the call for questions.
Operator: [Operator Instructions] Your first question comes from Martin Landry with Stifel. Please go ahead.
Martin Landry: Hi, good morning guys.
Stewart Schaefer: Good morning, Martin.
Craig De Pratto: Good morning.
Martin Landry: I was wondering if you could discuss your product line up for 2024. Given the challenge economy, I was wondering if you’ve adapted your offering with maybe a bigger proportion of lower price item. And I was wondering if you could give us maybe the average unit selling price for your products in 2024 and how it compares to 2023.
Stewart Schaefer: So I’ll start with the latter part of your question, Martin. For competitive reasons, we don’t give out our average unit selling price specifically on our mattresses. But I will tell you, in terms of our brand portfolio, it’s a balanced approach. As we walk into a more economic sensitive environment, we are definitely introducing some new products that are going to be a little bit more price sensitive. We’re excited to be introducing $9.99 Casper price point that should be coming out shortly, as well as a bunch of a variety of different other products and sleep accessories that will be price sensitive. At the same time though, we are also [Technical Difficulty] the consumer has definitely been pausing a little bit, but we’re still seeing a healthy environment when they do spend. So we want to make sure that we don’t cause deflation within the environment. And as you know, we prefer always to wait for the customer to buy when they’re ready to buy and make sure that they buy the bed that they need for their personal self.
Martin Landry: Okay. That’s helpful. You alluded in your opening remarks that your new store model is going to be rolling out starting in Q2. Now that we’re closer to that, I was wondering if you can give us some more details as to what is different in that new model and what you’re trying to achieve with that new model.
Stewart Schaefer: So it’s a heightened experience we expect for our customers, which will include an expansion of our digital brands into our stores and bringing the digital experience into the stores with the introduction of endless aisle into the hands of our sales associates, it is a couple of prototypes that we’re going to be doing one in Quebec and one in Toronto. It’s been long awaited that we were going to do this. But it’s still a fluid discussion because we’re seeing pockets of success in some of the other areas of us testing our business. We’re quite excited of what we’ve seen thus far and still very early days in Ottawa with the introduction of Silk & Snow into our Sleep Country store. And just for clarity, we carved out a part of the store and designated specifically to Silk & Snow, which will have a separate entrance onto the street, but also a passageway, excuse me, into their store through the Sleep Country environment. And without giving any specific numbers, the store, which occupies about 22% of our square footage, is transacting approximately 35% of our revenue in that one location. And even more exciting to us, it’s not competing dramatically with our mattresses because Silk & Snow does sell mattresses, but the split is more like 70% sleep accessories, which does not require delivery. So that’s a cash and carry component at a very high transacted margin. And 30% mattresses and the balance of mattresses is through the Sleep Country banner. So to answer your question, in a very long way, we’re excited about the expansion of bringing the digital experience into the Sleep Country network, but we’re also watching very closely if we should be looking at the Silk & Snow expansion quicker throughout our 300 store network. But we’ll talk more about that over the next couple of quarters.
Martin Landry: Okay. That’s helpful. And maybe last one for me. Wondering what you’re seeing in 2024. We’ve got two months of Q1 behind us, so any color you can provide would be helpful. Thank you.
Stewart Schaefer: Yeah, it’s been tough. The customer is definitely – January was a funny month. As I noted in my comments, the fourth quarter was a funny quarter. October was a rough quarter – a rough month. Excuse me. And we saw really a pause in demand. November and December came back strong, but the customer was definitely waiting for the promotional events. So even though the quarter finished off as well as we had hoped, the bulk of transactions happened during that promotional period and then fizzled down in January. So we are still cautiously optimistic. We still feel that the customer is healthy, but cautious right now, especially on the larger discretionary purchase of the mattresses. Our accessory business seems to be growing, still healthy, but it’s been bumpy out there.
Martin Landry: No doubt. Okay. Thanks a lot. Good luck.
Stewart Schaefer: Yes. Thank you, Martin.
Craig De Pratto: Thank you, Martin.
Operator: Your next question comes from Stephen MacLeod with BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good morning, guys.
Stewart Schaefer: Good morning, Stephen.
Stephen MacLeod: Good morning. Lots of great color so far, so thank you. Just a couple of things I wanted to circle back on. You mentioned a little bit about the Silk & Snow performance in the store within a store, wondering if you could give a little bit of color around. Similarly for ND and the rest, how are those standalone formats performing?
Stewart Schaefer: Early days, so I hate predicting what may or may not happen, but early days and both are also exceeding our expectations. And as I noted in my comments, we’re going to carefully, thoughtfully accelerate our expansion of our brick-and-mortar, specifically with a thought in mind of ND, Casper and Silk & Snow. The rest, we’re quite pleased. For all you investment bankers coming in and buying $10,000 mattresses, thank you for that, I’m just joking. But we already know in what select markets and what particular locations that we want to be in. But again, still very early. If all goes as planned for the rest, the next location will be opening in Montreal, probably in the back half of this year Q4 or Q1 of next year. We’re going to gather a lot of information on what we’re seeing with our customer. We’re going to watch very closely how it affects or cannibalizes our Sleep Country stores or in the – I could actually tell you in the Sherway Gardens mall in Toronto where we had a Sleep Country store and now have a Casper and Endy store. Not only did we exceed our expectations in both the Casper and the Endy locations, but pleasantly surprising to us because we budgeted for a little bit of cannibalization. Our sales since those two stores open at the Sleep Country location have actually increased. So we are again, early days but very pleased with what we’re seeing.
Stephen MacLeod: Okay. That’s great. Thanks. Thanks, Stewart. And maybe just along those lines, you’ve guided to minimum of six new stores for 2024. Is there any way to break down how many of those are sort of standalone Sleep Country or Dormez-vous locations versus some of the other formats?
Stewart Schaefer: I knew you were going to ask that question, Stephen. You could pretty much count that the six stores call those Sleep Country stores for now. I’m confident that we already have assigned locations at least for those. And count, as Craig said, six, a minimum of six. You will see select stores opening up of the Casper and the locations in addition to that, some of those leases aren’t completely finalized yet, so we don’t usually like to call it out unless the leases are finalized.
Stephen MacLeod: Okay. That’s great. And then maybe just finally for me, and then I’ll get back in line. In the past, you’ve talked – you’ve given color around consumer price sensitivity, wondering if you could do the same on what you saw in Q4 with respect to strength or weakness in the sort of mid-to-low to mid-to-high end?
Stewart Schaefer: Yes, for sure. October, we saw softness across all price bands. November and December are digital brands, which usually are a more price sensitive below $1,000 price point, which has been more affected than the rest of our higher price bands throughout 2023. Actually saw strong resurgence in their numbers and nice growth year-over-year in their numbers. So it was a little bit of everything in October as we creep into, let’s say, January. And I haven’t dived deep into the price bands for February yet, but if you look in January, once again, we’re starting to see a little bit of softness on the lower end. And the mid seems to be holding okay. And you’re probably seeing maybe a minor tick up on the high end.
Stephen MacLeod: Great. That’s great. Thanks, Stewart. Appreciate it.
Stewart Schaefer: Pleasure.
Operator: Your next question comes from Vishal Sridhar with National Bank. Please go ahead.
Vishal Sridhar: Hi. Thanks for taking my questions. Given this propensity for the customer to increasingly shop on promo and the good gross margin performance that we saw in the quarter, obviously your peers are aware that the customer is more price sensitive as well. Can you just talk about 2024 and your confidence to hold gross margin and not have to give that away in the increasing promo?
Stewart Schaefer: Yes. I’ll talk on product and Craig could dive in deeper into some of the efficiencies that we’re just driving throughout the organization. But specifically, Vishal, in terms of your probably question around holding gross margin on product in a higher promotional environment, our business is unique in that we could adjust our product mix to various price points and still maintain the margins because of the broad selection of products that we have. Whenever we create to Martin’s question earlier on, in terms of the selection of our products and how we’re thinking about it going into 2024. When we create maybe a more price sensitive mattress so that we make sure that we’re serving all our customers in the way and what they want to shop with the time, we are not – there’s not a need for us to mark down the pricing. We will just create product that’s similar to the gross margins that we usually receive at a different price point. And so I don’t see the high promotional intensity from other retailers, nor with us at this point in time when they’re plagued with too much inventory that they need to liquidate. Remember, still, a big part of our business is just in time. So I don’t think anyone, unless they’re mismanaging their inventory, are stuck with tons of mattresses. So I think we’re okay on that side going to 2024. Craig, do you want to talk on the other?
Craig De Pratto: Yes, no, for sure. Hi, Vishal. The – when we looked at 2022 coming into 2023, we indicated that we felt – seasonally we would hold margins fairly consistent to 2021, where we saw a fairly decent expansion in our margins. Going off of 2023 into 2024, I think you can kind of expect the same from a baseline perspective. With that being said, we continue to drive efficiencies through our network, through purchasing power across all of our brands and banners. In addition, we continue to drive more product through direct sourcing to Stu’s [ph] point earlier during the script. And lastly, as also Stu indicated, we are looking to control our inventory more within our four walls. And so we will continue to move down that agenda. So I’d say from a baseline perspective, you can expect same margin profile just adjusted seasonally for sales, because occupancy is the fixed cost there that really drives that variance. And then we’re going to work hard to continue to drive efficiencies through the network and try to deliver some expansion. But from a baseline perspective, I’d kind of expect the status quo in 2024.
Vishal Sridhar: Okay. And with respect to efficiencies, how should we expect that to involve? And the efficiencies that you’re talking about, is that specifically related to your warehousing that you talked about earlier? That’s one. And number two, the marketing and advertising expenses, if you could just give us some thoughts on how we should contemplate that into 2024 as well?
Craig De Pratto: Yes, you’re correct. I’d say that the second half of the year is when we think we’ll start seeing, which is consistent with what we said in previous calls. We feel that those efficiencies and the work that we’re completing will look to benefit us on the back half of the year. In terms of marketing expense, because the D2C or the online component of our business had a significant uptick in Q4 to 26%, the highest we’ve ever achieved. There is a higher advertising cost driven by that mix shift from brick and mortar to online. In addition to that, we had the incremental spend year-over-year from a dollar perspective, absolute dollar perspective of Silk & Snow and Casper. And Casper we have released the new lineup. We’ve taken a step back and now we really are starting to push promotions and advertisements around that brand. So there was a little bit of an uptick. I think we landed in the 11 and change percent for marketing spend in Q4. That is a high mark. I think we’ll settle down, as we’ve discussed previously, more so into that kind of 9-ish to 9.5% range. Again, there is different promotional periods and quarters that do drive additional spend and we will continue to take advantage of that because it does drive top line and margin. But I would say that this was a high mark in terms of some of those elements that came through and some of the incremental spend from the acquisitions in Q4.
Stewart Schaefer: Vishal, I would also add, and I’ve said this in the past, that investing in our brands has served us well in recessionary pasts, so that when the customer is ready to come back to that larger discretionary spend, we are top of mind. Our life LTV is, we think out eight to twelve years, not on a quarterly basis. And when markets slow, it usually creates opportunity for us.
Vishal Sridhar: Appreciate that color. Thank you.
Craig De Pratto: Thank you.
Stewart Schaefer: Thank you.
Operator: Your next question comes from Andrew Lopez with TD Securities. Please go ahead.
Andrew Lopez: Hi, good morning. Congratulations on the solid quarter. A lot of my questions have been answered here, but I just want to circle back on the – what you’re seeing to start the year on the same-store sales growth front. Understand that you’re still kind of cautious on the consumer, but are you able to speak just kind of to the same-store sales growth if you’re expecting that to kind of decelerate and if we maybe reach an inflection point here where we’re lapping some softer comps?
Stewart Schaefer: Andrew, I wish I had that answer. So I can’t speak specifically because we don’t give guidance. The color that I gave to Martin earlier about January being a little bit softer, coming off of November and December, which were a little bit stronger. It’s probably as much as I’m comfortable to say at this moment. That being said, the consumer is funny right now. We’re all guessing the same thing that you’re guessing. Is the Fed and the Bank of Canada going to pivot? Are interest rates going to come down? There’s no question that there is an impact of these higher interest rates that are having an effect on the Canadian economy. There’s no question that the Canadian government is trying to slow down the pace. But the pace of the healthy consumer and unemployment as low as it is and job growth as strong as it is, we’re in funny times. It’s hard to predict. So we’re putting our head down. We’re focusing on our strategic initiatives. We’re going to continue on our path of growing out our brick and mortar and our digital and drive the efficiencies and what we said that we’re going to do in previous slowdowns, recessions, it’s always created opportunities for us to take market share and we are investing in the future and we’ll be cautious where we can be cautious and we’re going to be opportunistic where we think we should be opportunistic.
Andrew Lopez: Fair enough. And then just on the repositioning of Casper. So I know you kind of spoke a bit on the marketing cadence, but if you’re able to just maybe speak to SG&A leverage just in general this year and kind of the cadence of that as your acquisitions begin to mature over the year?
Stewart Schaefer: Yes. On our G&A spend, I mean, I think when we take a step back on the main buckets that drove some incremental spend this year, it was really around the advertising expense as a percentage of sales, which we had kind of discussed in that 9-ish, 9.5% range we landed the full year at 9.3%. So we expect that to level in that same range. This year we also had incremental spend that put pressure on wages and salary because of those incremental investments. So we do expect that to settle a little bit as well into a bit of a new norm. And then credit card and financing charges have ticked up a little bit over the year just because the consumer has been going to more financed orders and we are in the process of reviewing those rates with our vendor. But at the end of the day, I think going into next year we're going to continue to see a little bit of pressure at that G&A because we continue to invest in some of these initiatives around the store of the future technology, customer experience. So I'm not going to promise that we're going to see a bunch of leverage there, but more so in that similar range with some likely efficiencies in those buckets I discussed around wages and a little bit on the advertising side, potentially.
Craig De Pratto: Andrew, I'll add a drop more color on that because one of the exciting things about the Casper acquisition for us, it didn't come with a huge back office team and distribution center and all the things that weigh down expenses of our business. And a lot of the repositioning of this brand is happening by the leaders of our organization and our teams across the country who are supporting this brand. And I believe as we ramp-up Casper to the sales that this coveted brand deserves, you will see on a contribution basis that Casper component delivering exceptionally well.
Unidentified Analyst: Okay. That's great color. I'll leave there and I'll jump back into the queue. Thank you.
Stewart Schaefer: Thank you, Andrew.
Craig De Pratto: Thank you, Andrew.
Operator: Your next question comes from John Zamparo with CIBC. Please go ahead.
Stewart Schaefer: Hey, John.
John Zamparo: Hey, good morning.
Craig De Pratto: Good morning.
John Zamparo: I wanted to start on the e-commerce number and the percent of sales coming from eCom. And you gave some color there on the strength of your DTC brands and accessories. But that's a really market step up from both Q4 last year and also Q3. I wonder if you could add a bit more color on what's driving that number.
Stewart Schaefer: Well, our fabulous partners, Silk & Snow and the Hush definitely and Casper, I mean, early days, but definitely kicked it into gear in November and December. And as the consumer and I mentioned earlier that promotional period, Black Friday, Boxing Day leading up a little bit after Cyber Monday, they had strong year-over-year growth, which proves out our model that we are putting into place over the last few years because we're agnostic in terms of where it transacts. The customer will dictate that to us. So we've seen the pendulum swing one way, really one way during COVID. We saw the pendulum swing back brick and mortar when COVID ended. And we're seeing a new norm, I think and we're set up for that new norm beautifully, which is why we're really excited about the future with the balance of our entire omni-network. So, yes, that's why you saw that tick-up, I think.
John Zamparo1: Okay, interesting. That's helpful. On the efficiencies for this year, particularly reducing the use of 3PLs and layering in your recent acquisitions onto your logistics network and your suppliers. I wonder if you're willing to give us any sense of the magnitude of those savings or a range. And if not, could you say what percent of those savings will fall into 2024 versus 2025?
Craig De Pratto: Yes. I mean, like sue said, we don't want to provide guidance and I think from a baseline perspective, our margins are in a very healthy spot. I think we'll provide more color as we solidify some of the timing of the 3PL integration and we're actively working on moving and centralizing different groups that make sense within the organization, finance, HR, IT. So I'd say we'll probably provide more color on this and maybe some ranges more towards Q2 into Q3. I think we'll have more confidence and can give some additional color that will help out.
Stewart Schaefer: And John, we're not even trying to be evasive here because there's going to be a double expense for a very short period of time as we roll over because we will not interrupt the service to our customers. So we will be juggling both as we transition over into the Sleep Country Hubs. And so that's why in the second half, it'll be a lot cleaner and smoother once the 3PLs drop off and Craig can have a clear vision. We have a pretty good vision, but we'd rather not give you the exact numbers until we close out those relationships.
John Zamparo1: Right. Understood. Okay. I think we're all excited about the new store design. It sounds like we're going to have to wait a couple more quarters to really get a sense of what – what that's going to mean. I wonder how does that impact CapEx for this year or does it? Is that likely to be a 2025 and onward spend?
Stewart Schaefer: Yes. It'll depend on the Sleep Country network stores are beautiful stores. The nice thing about our business is that we don't get thousands of people walk. I'd love to have thousands of people walking through our doors every day, but we don't. The reality is we don't, nor do we need it because of the transaction. So there's not a need to renovate the stores unless the new stores perform and drive-up what we believe in certain categories, we see huge opportunities. And so we're going to do this thoughtfully and watch two tests at the same time before we decide to accelerate. One is the new concept stores that we're talking about, and two, what we're seeing with the Sleep Country, Silk & Snow combined. And a big part of that will be the growth of our accessory side of our business also, I truly believe. So the CapEx may ramp up more towards the back half of the year rather than the front half. So you should think that way. And we are actively looking for locations for some of our D2C brands and we are going to carefully procure those fabulous pieces of real estate to make sure that we're doing it with a long-term thought process rather than just for the immediate growth.
Craig De Pratto: Yes. And I just add on that as we run through these tests and launch the new store design, we will look to guide on the outlook section around CapEx like we do every quarter to Stu's point, I think right now we're being conservative in terms of the leases that we've locked in, but we'll update accordingly as the year progresses.
John Zamparo1: Okay. Okay, understood. And then the last one for me is on the international side. And you've talked in the past about expanding your international business. You've got a very modest presence now, but for some of the brands you have on a wholesale basis, I wonder, where does that rank in terms of your priorities? Has anything changed there? Is that something you might move forward with in 2024?
Stewart Schaefer: I won't tell you where it ranks because we have a top ten list on our priorities and of which, I mean, we talk about in big strokes three of our key priorities of this organization. But we are pleased with our growth in our accessory business that we are seeing through a couple of our digital brands, and we will continue to invest in that. It's not material enough to really break-out. I don't know if we'll ever break it out or talk to it. I think at a certain point when it becomes more material, we'll talk about international because there will be a currency component, I'm sure of that. Also that we'll have to discuss, but we're in a difficult environment, we're pleasantly pleased with the reaction we're getting. And the growth of this small base continues to grow double-digit. That's all I'll share.
John Zamparo1: Okay. That's great. I appreciate the color. I'll leave it there. Thank you.
Stewart Schaefer: Thanks, John. Be well.
Operator: [Operator Instructions] Your next question comes from Stephen MacLeod with BMO Capital Markets. Please go ahead.
Stewart Schaefer: Sorry, Steven, you used up your questions.
Stephen MacLeod: Well, actually you already answered all my questions, so I don't have any more. Thank you.
Stewart Schaefer: Okay. Okay.
Operator: There are no further questions at this time. I will now turn the conference over to Stewart.
Stewart Schaefer: Well, thank you, everyone. Maybe a little bit bumpy out there with the consumer, but we're actually more excited about our positioning than ever before. And we're going to focus on doing what we do well, which is putting our nose down and focusing on executing flawlessly throughout our organization. And we'll be ready when the consumer returns. And we appreciate all of your support and we'll be chatting with you soon. Be well.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your line.